Operator: Good day, ladies and gentlemen. Welcome to the Marathon Digital Holdings Second Quarter 2022 Earnings Webcast and Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Charlie maker, Vice President of Corporate Communications. Sir, please go ahead. 
Charlie Schumacher: Thank you, Vikram. Hello, everyone, and welcome to Marathon Digital Holdings second quarter 2022 earnings call. Joining me on today's call are our Chairman and CEO, Fred Thiel; and our CFO, Hugh Gallagher. Before we get started, I'd like to remind everyone that our prepared remarks may contain forward-looking statements, which are subject to risks and uncertainties and that we may make additional forward-looking statements during the question-and-answer session. These forward-looking statements are subject to risks and uncertainties, and actual results may differ materially. When used in this call, the words anticipate, could, enable, estimate, intend, expect, believe, potential, will, should, project and similar expressions as they relate to Marathon Digital Holdings, Inc. are, as such, a forward-looking statement. Please refer to our earnings release for a full reputation of our forward-looking statements. Investors are cautioned that all forward-looking statements involve risks and uncertainties, which may cause actual results to differ from those anticipated by Marathon at this time. In addition, other risks are more fully described in Marathon's public filings with the U.S. Securities and Exchange Commission, which can be reviewed at www.sec.gov. Finally, please note that on today's call, we will refer to certain non-GAAP financial measures in which Marathon excludes certain expenses from its GAAP financial results. Please refer to our company's periodic reports on Form 10-K and 10-Q for a full reconciliation of its non-GAAP performance measures to the most comparable GAAP financial measures. We'll begin today's call with prepared remarks from Fred and Hue. After their comments, we will be going through some of our more popular questions from our investors before transferring to a live Q&A with our covering analysts. And with that covered, I’m going to turn it over to Fred to kick things off. Fred? 
Fred Thiel: Thank you, Charlie, and thank you all for joining us today for our earnings call. The second quarter 2022 proved to be a challenging time for our industry, the broader market and for Marathon. But as we'll discuss today, we believe our recent progress proves that Marathon is well positioned relative to its peers to grow as a leader in securing and supporting the bitcoin ecosystem. During the quarter, Bitcoin's price declined approximately 56%. At the same time, energy prices increased in part due to Russia's invasion of Ukraine. The combination of both factors has compressed margins and reduced profits for many in our industry. miners who are running old equipment or overpaying for electricity have been forced to stop mining. As a result, the global hash rate has grown far slower than many analysts were projecting at the start of this year, and we have even seen the difficulty rate adjust downwards multiple times since the end of May. At Marathon, we tend to be fairly well insulated from the macro environment relative to our peers since we run a lean operation, we are asset-light, and we do not have large capital expenditures for data centers or power assets. However, as our financial results demonstrate, we are far from immune to the impact as we are directly tied to a new but maturing asset. In the second quarter, in addition to the challenging macro environment, we also had to work through several obstacles unique to Marathon that depressed production and negatively impacted our results this past quarter. As we've discussed in our monthly production reports, our bitcoin production was substantially reduced during the second quarter due to downtime and maintenance issues at the power generating station in Harden Montana, coupled with an elongated regulatory process that delayed the energization of our installed miners in Texas. For most of the quarter, the power generating facility in Montana struggled to produce an adequate amount of electricity to supply our miners with power. And in June, it seemed that Murphy's law came into effect when a severe storm passed through the region, damaging the power plant and taking offline all 30,000 of our miners in the area, which represented approximately 75% of our active fleet at the time. The downtime from an inconsistent supply of electricity and the storm caused our miners to produce approximately 45% less bitcoin during the quarter than they theoretically could have if they have been running at 90% uptime, which is more in line with our long-term target. Outside of Montana, the energization of our miners in Texas was repeatedly and frustratingly postponed by the power provider until the tax exempt dates of the wind farm, where 68,000 of our miners are being installed to be confirmed. While confirmation was pending, we applied pressure where we could to expedite the process, and we continue to have miners installed in preparation of receiving the green light to energize. By the end of Q2, we had approximately 30,000 miners or 3.9 ex ashes installed across these new facilities. And as of August 1, that number increased to approximately 49,000 miners or 4.7 ex ashes. Fortunately, these delays are finally behind us. Just last week, miners at the wind farm in West Texas started to be energized. However, before discussing the immense progress we've made subsequent to the quarter's end to energize our installed miners, procure hosting for the remainder of our fleet and bolster our financial position, I'm going to turn the call over to Hugh to discuss our second quarter financial results in detail. Hugh?
Hugh Gallagher: Thanks, Fred. My focus today will be to comment on our operating results for the second quarter and to provide some color on more significant recent financing activities, including our withdrawal from the investment fund in June and the new credit facilities we put in place at the end of July. First, operating results. We recorded a net loss of $191.6 million during the quarter compared with a net loss of $108.9 million in the prior year period. This is an $82.7 million increase in loss, and I'm going to walk through the components of this increase in our loss starting with revenues and margins. As mentioned -- as Fred mentioned and as we mentioned in our release, we faced some real operational challenges this quarter, and we generated revenues of $24.9 million for the 3 months ended June 30, 2022, compared with $29.3 million during the 3 months ended June 30, 2021. This $4.4 million decrease in revenue was driven by lower revenue per bitcoin mined of $6.8 million, and this resulted from the lower market prices for Bitcoin in the current year period when compared to the prior year period, partially offset by an 8% increase in Bitcoin production activity during the quarter, which had the effect of increasing revenues by about $2.4 million. Cost of revenues, energy, hosting and other during the 3 months ended June 30, 2022, amounted to $16.7 million compared with $4.1 million in the prior year period. This $12.6 million increase was driven by accelerated cost recognition associated with our early exit from Harden of about $10.3 million, and to a lesser extent, higher cost per bitcoin -- total margin, which we define as revenues less cost of revenue for energy, hosting and other totaled $8.2 million compared to $25.2 million in the prior year period. This is a $17 million decrease driven primarily by the accelerated cost that Harden that I mentioned earlier and the lower revenue per Bitcoin mined. We also recorded a $21.8 million increase in depreciation expense during the current quarter. This is included in the caption called cost of revenues, depreciation and amortization, about $18 million of this $21.8 million was related to the acceleration of depreciation into the second quarter as a result of our decision to exit Harden [ph]. The remaining increase in D&A was just the impact of having a larger fleet year-over-year. So that sort of covers depreciation and our margin. But the largest single driver of the steeper loss in the quarter was the significant decline in the carrying value of our digital currencies, driven by the lower bitcoin prices during the quarter. We recorded a combined impairment expense/fair value decline of $207.3 million during the current period quarter compared with $125.8 million in the prior year period to that $81.5 million of an unfavorable earnings variance quarter-over-quarter. We also saw increased costs related to income tax expense of about $10 million, operating expenses of around $6 million and interest expense associated with our convertible notes of about $3.7 million. Partially offsetting these unfavorable variances was a gain on the sale of equipment of $58.2 million. In December of 2021, we entered into a contract in which we agreed to sell certain equipment in conjunction with the development of commercial activities at the King Mountain facility. During the 3 months ended June, we sold -- we sent 2 shipments of equipment for cash proceeds of approximately $87 million and realized a gain -- a total gain of $58 million. And finally, adjusted EBITDA, as we define it, was a loss of $147.2 million compared with a loss of $105.2 million in last year's quarter. This $42.1 million decline in adjusted EBITDA primarily resulted from the decline in carrying value of our digital assets, which I spoke about earlier, both impairments and changes in fair market value and lower total margin, partially offset by the gain on the sale of equipment. Now, I'll turn briefly to a few of the more recent updates on the third quarter -- these are things that are -- that we see coming up in the next quarter. In July, we sold the final shipment of equipment related to King Mountain. We received proceeds of $44 million and expect to record another gain of $29 million on the sale. We can also now say that we finished the accelerated cost recognition associated with the hard exit. During the month of July, we recorded $7 million of accelerated cost in cost of revenues, energy hosting and other and an additional $13 million in depreciation costs. We are now in the process of moving and/or selling to harden miners, and we'll report on the outcome of these efforts in our monthly production reports as appropriate once we have more definitive plans for these assets. Turning briefly to our bit Point Holdings. At June 30, we held around 10,055 bitcoin, of which 2,820 were being utilized as collateral. The fair market value of the remaining 7,235 unrestricted Bitcoin was approximately $143.1 million. We also had unrestricted cash on hand of about $86.5 million. As to our Bitcoin Holdings, we expect to continue to add to our holdings over time through mining activities. And as our mining activities increase, we may sell a portion of the Bitcoin produced in future periods to fund monthly operations for treasury management purposes or for general corporate purposes. As previously reported, on June 13, we withdrew 4,769 bitcoin from our investment fund and transferred into direct company ownership. As a result, we no longer will receive mark-to-market accounting for the Bitcoin formerly held in the investment fund and the 4,769 bit point are now classified on our balance sheet as digital currencies. Also during the quarter, we terminated the loan of Fit coin of around 600 bitcoin. These were treasury management actions that we wanted to consolidate our Bitcoin holdings in support of the anticipated Silvergate financing, which we placed on July 28. Speaking of that financing, we entered into an additional $100 million term loan, and we refinanced our $100 million revolving credit facility. The term loan includes a $50 million draw at closing, which we've executed a carried an interest rate of 7.25%. And there's a $50 million delayed draw that we have up to 270 days to choose to draw that facility. Both the term loan and the revolving credit facility are secured by Bitcoin and got mature in August of 2024. Turning to the cash flow statements. Our total cash position, including cash, cash equivalents and restricted cash was right around $90 million, a year-to-date decrease of about $179 million. The primary drivers of this were expenditures of $394 million in advances to vendors related to Bitcoin server orders and, to a lesser extent, $14 million related to capital expenditures and $14 million related to equity investments. These uses of cash were partially offset by proceeds from asset sales of $79 million, proceeds from the issuance of common stock of $161 million and proceeds from borrowings under our revolver credit facility of $35 million, and that $35 million that was outstanding at the end of June has since been repaid. Looking forward for the remainder of the fiscal year, we see cash needs for investment, including shipping costs related to previously ordered miners that will be shipped to be substantially lower than what we've incurred to date. We are estimating this to be in the range of $150 million to $175 million. And that completes my comments. I’ll now turn it back to Fred. 
Fred Thiel: Thanks, Hugh. The second quarter tested our resilience and our resourcefulness. As a result, even as recent events have demonstrated, we not only weathered the difficult times, but we capitalized on opportunities to improve our operational and financial position subsequent to the quarter's end. At the end of July, we received the much anticipated news that the exemption the power company has been waiting on have been confirmed and that miners could start to be energized at the wind farm in Texas. Just last week, the energy provider started feeding power to the data center and energizing our miners. Of the 68,000 miners that will eventually come online at this facility, approximately 40,000 are already installed and are now being energized. As of this morning, we had brought approximately 9,700 miners online, which added 0.9x a hashes to our [indiscernible] energizing this much capacity is a complex process that will occur in stages. According to the latest schedules, the facility should be constructed and energized by the end of the third quarter of this year. At that time, we should have approximately 68,000 miners online at this facility, working to secure Bitcoin ledger, process transactions and produce new bitcoin for Marathon and our investors. In addition to energizing miners in Texas, we also recently eliminated the uncertainty surrounding our future hosting capacity by securing new hosting arrangements to achieve our prior hash rate targets. When vetting potential new hosting arrangements, in addition to the quality of the operator, -- we prioritized speed of deployment, cost of electricity and hosting, geographic diversity and the source of power. With this in mind, we signed a major new agreement with Applied blockchain securing approximately 200 megawatts worth of hosting capacity, 90 megawatts of which is in Texas, while the other 100 megawatts are at a wind farm in North Dakota. As a part of this arrangement, we have the ability to add an additional 70 megawatts of capacity, bringing the total amount of hosting across all of the applied blockchain facilities to 270 megawatts if we choose to exercise the option. Additionally, we opted to expand our agreement with Compute North to include an additional 42 megawatts of hosting capacity at the facility in Grandbury, Texas, and we're also expanding with several smaller providers in the U.S. In total, we secured enough hosting capacity to support our prior target of 23.3 ex-hash [ph]. Based on construction schedules, it's our understanding from speaking with our hosting providers that we will have enough miners installed to reach that target by the middle of 2023. In addition to substantial operating progress we made to energize previously installed miners and procure hosting arrangements for others, we have taken measures to enhance Marathon's financial position going into the second half of 2022. As listed in our contracts, which were published in December of last year, the S19 XPs we purchased from Bitmain [ph] benefit from price protection. For the July and August shipments, we received a price adjustment on our first shipments of S19 XPs that were relatively in line with current market conditions. It is our current belief that we will receive similar adjustments if market conditions persist through the end of the year. These price adjustments materially reduced our potential capital expenditures for 2022. We -- as Hugh mentioned, rather than relocate all the miners that we installed in Hard in Montana, we have opted to sell a portion of them. This decision backs the question how are we still on track to achieve our target of 23.3 ex-hash [ph]. At Marathon, we're always looking to reduce our costs and boost performance, especially in current market conditions when Bitcoin's prices declined and energy rates have increased compressing margins for Bitcoin miners. As part of this strategy, and in anticipation of the potentially industry-wide margin compression, we opted to purchase an additional 30,000 S19Psifrom Bitmain in April of this year. We're currently in the process of using these new miners to upgrade our fleet by replacing some of our S-19 Js and S-19 PROs with XP. We are still on target to achieve our prior goal of 23.3x ASHs, but with the upgrades, approximately 66% of the 23.3 exahash will be coming from XPs. The S19 XP is 30% more energy efficient than the prior generation. And by converting to these machines, we are decreasing our electricity cost on a per terahash basis. As a result, once fully installed, we believe Marathon's fleet will not only be one of the largest, but among the most energy-efficient mining fleet on a per terahash basis. One other update we're mentioning relates to our hosting arrangement with Compute North. Our original agreements with them included the fixed price for energy and hosting as well as a small profit share on a portion of our overall fleet. Given the current market dynamics, we opted to renegotiate these contracts to maximize the potential profitability. We have eliminated the joint venture and profit share. Under our new agreements, we will continue to pay a fixed rate for hosting, and we will have an extremely attractive fixed price on the wind energy at the facility in West Texas. The remaining grid energy we use has passed through pricing, which gives us the opportunity to benefit from hedging and participating in curtailment programs because we now have the benefit of being able to control when our miners will be curtailed, we can now benefit from selling energy back to the grid when it makes economic sense to do so as some of our peers in the industry have recently demonstrated, there are times when it can be more profitable to sell electricity back to the grid than it is to mine Bitcoin. Under our new arrangements, we now have the ability to participate in this potential upside. In summary, the second quarter was challenging for the industry and for Marathon in particular. Bitcoin mining is a nascent industry, and as I mentioned in our last call, there is no playbook. However, given our progress, we're confident that we remain on track to grow our position as a leader in this space. Miners are coming online in Texas. We have hosting arrangements secured to achieve our target of 23.3 exahash by mid-next year. Our mining fleet is state-of-the-art, consisting predominantly of the most efficient bitcoin miners available in the market. We have a warchest big point in our liquidity position, balance sheet continued to improve. Overall, we have entered the second half of the year with added confidence that we remain on track to grow our position as a leader in supporting and securing the bitcoin ecosystem. With that, I’ll turn it back to Charlie so we can begin taking questions. Charlie?
A - Charlie Schumacher: Thanks, Fred. At this time, we're going to commence the Q&A section of today's call. We'll start by answering some of the questions submitted by investors on our new Q&A platform. In total, we received about 100 questions, which looks fantastic. We won't have time to tackle all of them today, but we do want to cover some of the most uploaded questions. And also, I'll let you all know how much we appreciate the interest in Marathon and the opportunity to have more of a dialogue with our investor base. So to start, the first question comes from Bill Gee, who asked, can you please give us an update on the rigs and when they will be plugged into full capacity? We got approval from FERC and they were curious about the energization time line. So I think we've actually covered this a little bit in the prepared remarks and in today's earnings release. But just curious, Fred or you any color that either of you want to provide on the process of receiving approval and starting to energize.
Fred Thiel: Well, once the FERC approval was received, the power provider could proceed with beginning to energize the site, which took a certain number of days. They can't turn on 280 megawatts at one time. They turn it on in essentially kind of 20-megawatt chunks. And so while we have 49,000 miners installed at the site, those will be energized 20 megawatts at a time, and we expect to be fully energized with the 68,000 miners installed on site by the end of September. 
Charlie Schumacher: Excellent. Our next question comes from Tami Gee, who asks, what are Marathon's plans for any severe downturns that may occur within the crypto market in the coming years? So I guess, any comments around kind of resiliency of the model or how we're prepared to kind of survive cryptowinter? 
Fred Thiel: I can touch on part of this and maybe Hugh will have a comment on the other side of this. But essentially, because of the way we're structuring these power agreements, we do have the ability to curtail our mining operations if mining becomes unprofitable. This is different than other miners who may have PPAs where they’re obliged to take the energy. And so we believe that we have strengthened this strategy, and it will help us going forward. As it relates to the other side of this and how big corn pricing may affect us, Hugh, I’ll let you comment on that.
Hugh Gallagher: Again, I think, Fred, the whole point with this is optionality, right? So you want to build flexibility and optionality into your processes. As we said, the financing we completed goes a long way in helping us achieve that goal. And the other thing I think we need to look at is, as we mentioned, as we produce more bitcoin considering using a portion of that production every month to cover your cost where regardless of where bid point is going up or down, you're matching the cost of bitcoin with your cost of production within the same month. That's something we're certainly looking at. But I would say here, in addition to what you mentioned, which is probably the first order issue. The second one is building in financial flexibility, so you can continue to absorb fluctuations that will come in the market. 
Charlie Schumacher: Thank you. This is probably a good segue actually into our next question, which comes from Noah P, who asked how does Marathon compare or stand out from other miners in the market? So any other additional comments besides what just touched on related to Marathon's differentiators or kind of what makes us unique? 
Fred Thiel: I think as we’ve stated many times in our public disclosures, the earnings calls and presentations, our strategy is different than many of our colleagues in the industry where we operate with an asset-light model, working with third parties to do hosting and provide energy for us as opposed to being vertically integrated. We think that has certainly given us a lot of flexibility, especially with the delays that we incurred in energizing miners had we been having to make huge CapEx expenditures and investments in infrastructure, I think it would have been a very different financial situation for the company. But our strategy provides us with a great amount of flexibility. And I think as you can see, we’ve weathered the storm quite well. 
Charlie Schumacher: Suspension is a little more esoteric, if you will. So maybe I'll pass this over to you. Ivan B was wondering about the atriums move to proof of stake, do you think there may be any sort of impact on Marathon or earnings as a result of that shift? 
Fred Thiel: Yes, I’m not going to directly comment on whether it will impact our earnings. I think just generally in the marketplace, Ethereum and the Ether platform is really a platform for developing this decentralized applications and smart contracts where Bitcoin is really all around Bitcoins cryptocurrency. And as a network that really is ideally designed for tracking ownership of assets. And I think the 2 of them will continue to operate very independently of each other. I think there’s still going to be different versions of Ethereum [ph] classic. You have the current version of serum and there’s people in the news commenting about doing yet another 4 here. And I think bitcoin won’t be really impacted by that much. 
Charlie Schumacher: Next question comes from Mark B, who asked, is there a future potential of a dividend paid in Nicklin... 
Fred Thiel: This is something that I think as a management team, we've discussed, it's not in the current plan. It may be an option in the future or not, we don't know, but I think time will tell. 
Charlie Schumacher: Great. Next question, maybe, Hugh, this might be a good one for you. New DS is Marathon considering adding additional shares, hence, potentially increasing dilution. So Hugh, maybe can you touch on sort of the capital allocation strategy a bit and some of the different levers that we have available? 
Hugh Gallagher: Sure. So we have an ATM and at the market facility that's active that we're using. And I mentioned earlier, we've -- that was a source of about $161 million in the first 6 months of this year. So we will continue -- that's an option that's available to us. And given the growth mode that we're in, that we will probably continue to lean on, although less needs coming up in the next 6 months and in the first 6 months. We also try to make sure that we always keep in mind that whatever we're doing in the short term fits a long-term debt equity split debt equity capital structure. And that's why we felt comfortable adding a little bit of debt capacity this quarter because of how much we've been able to raise on the equity side, you can lever that with a little bit of debt. Don't want to go overboard in that and always finance keeping your long-term view of where the company needs to be and keeping optionality and flexibility available to yourself? The short answer to your question is, yes, we will continue to tap the equity markets as needed for growth. I think the good message that we put out there is we clearly want to get to the point where we’re not tapping the capital markets to pay for monthly operating expenses, which is where we’ve been to this point. 
Charlie Schumacher: Great. Thank you. I think we'll do one more question before we kind of switch gears here a little bit. So last question David Jay asked is, Marathon digital planning on branching out at any point and mining other cryptocurrencies besides Bitcoin. Fred, maybe you want to touch on that one a little?
Fred Thiel: At this point, Bitcoin is our primary focus and only focus. We may do experimentation just to learn and understand how some different cryptocurrencies operate, but Bitcoin is our focus. 
Charlie Schumacher: Great. So in the interest of time, I think we'll wrap up the section of the Q&A. Again, we really appreciate the questions and the interest, and I wish we had more time to answer all of them. But for now, I'm going to turn the call back over to our operator to open the line to questions from our covering analysts. So Vikram, the mic is yours. 
Operator: Thank you very much, sir. [Operator Instructions] We have a first question from the line of Jon Petersen with Jefferies.
Jon Petersen: Okay. And congrats on all the progress over the last few weeks. Maybe my first question, I guess if we think about the second half deployments and some of the delays that you had in the first half of the year, I mean, I guess, talk us through your confidence level that we're not going to run into energization delays or anything like that with the next level of deployments. 
Fred Thiel: Sure. So the initial site we're deploying in the second half of the year with applied blockchain already has capacity running at it. So that site is the expansion that we're doing there is really more of a construction issue than anything else. So we don't foresee any energization issues there. The second site, based on their historical operating experience, we feel fairly confident that, that will happen on time. The good thing is, today, with the energization of King Mountain and the additional capacity that we've tied up with other hosting providers, all of the inventory of miners that we have will be fully absorbed here very shortly. And if you look at the second half of this year, it's predominantly the XPs that are yet to be delivered that will be deployed there. So if anything, we believe it's really more deliveries will be the gating item than construction or energization. 
Jon Petersen: Okay. Got it. And then on the deliveries, you mentioned that the July and August deliveries were discounted from the original purchase price. I’m not sure if you can – if you’re able to quantify that for us? I think if I remember right, you guys paid $79 a Terahash. I think the market rate, I would imagine is down by more than 1/3 from that your final payment is a third. So I’m just curious if the market terahash rate is less than 33% lower than where you paid, are there ways to renegotiate that contract, maybe increase the amount of miners that you’re buying? Or just how should we think about that? 
Fred Thiel: I think you should think about it as we will be deploying 23.3x a hash, and we're benefiting from essentially a decrease in the amount of CapEx we're going to have to pay to get those liners deployed. I think your estimates on kind of market pricing or most probably definitely in the ballpark, you can obviously see those numbers in the secondary market, starting to see the XP prices come down in the secondary market already pretty aggressively. So I think it's about all we're going to comment on that for obvious reasons. 
Operator: We have next question from the line of Chris Brendler with DA Davidson.
Chris Brendler: Congratulations on the progress. Not sure this is for Fred or for Hugh, but I'd love to hear on the -- it was really impressive that you were able to go through this quarter without selling material not a big point like a lot of your peers did. Can you just maybe give a little more detail on the sources of cash in the quarter, looking specifically at the compute North loan? And how much of that has been repaid back as well as any -- so like you have less payments on some of these orders than you expected. Can you quantify that at all? 
Hugh Gallagher: Sure. So Chris, there's been no activity on the compute North loan. So that's still outstanding. So that was not a source -- the 2 largest single sources of funds were the -- well, the proceeds from the sale of the miners, that was $87 million. We pulled on the revolver. And we also -- we -- despite the -- that it was not a tremendous quarter from a standpoint of stock price. We did keptapping our ATM periodically during the period as well. So they were our 3 main sources of funds. And of course, the biggest use of funds was clearly continued payments for miners. Important point is that a lot of the impact on minor pricing adjustments come -- came in July and a very end of June and in July. So that did not have a significant impact on the current quarter. It is more of an impact as you're looking forward for the remainder of the year. And as we said, if you just look at -- if you look at where we are, in the first 6 months, I think our number is around $390 million of advances for miners. And over the next 6 months, our forecast is around $150 million to $175 million. 
Chris Brendler: Great. My follow-up question, and I do have a lot more, but I'll get back in queue. The new facility, a new hosting arrangement with AP LD, and I think you've got another -- a couple of other hosting deals that you've signed to complete the 23.3%. Can you talk at all about the pricing? I was always so impressed by the Compute North transaction back in December at $0.042 per kilowatt hour was really attractive pricing that's all in today's environment. What is -- can you give us any indication on how much higher just given what's happened in energy prices, your new contracts are? 
Fred Thiel: Yes. While we haven't sort of announced the exact price, it is a fixed price contract. And I think if you look at the fact that we'll be deploying XPs there and with that energy efficiency, we'll still be relatively in the same ballpark as prior fixed price agreements that we have with compute North.
Chris Brendler: So the XP efficiency offsets the increase in power, so your cost for quality is relatively stable?
Fred Thiel: Yes, that's a great way to look at it.
Operator: We have next question from the line of Chase White with Compass Point.
Chase White: So just curious, what portion of the power purchase agreements have the ability at this point to participate in curtailment programs? I mean you mentioned that a certain portion, you're able to actually do that and sell power back to the market. So I'm just curious what amount of power is kind of subject to that? 
Fred Thiel: So in relation to the King Mountain site, which is a wind farm, the wind energy that we have has a fixed price, very attractive fixed price. And so for example, if you look at the forward market and ARCO this week, it sudden $400 a megawatt or something like that. We are significantly below that. And so that gives us a very big opportunity to sell the wind energy back. The grid energy, we only take it when we need it and want to mine with it. So that's not energy that we sell back. But the wind energy, we have 100% benefit from if we sell it to the grid.
Chase White: Got you. That’s helpful. And then, I mean, is it safe to say just as a follow-up to the prior question that the kind of the blended average electricity costs go up, but the efficiency comes down, but everything should stay effectively the same. I mean are you kind of implying, I guess, here that the power price is fixed at something like 30% higher given the efficiency of the XPs?
Fred Thiel: Yes, I think a good way to look at it is operating with XPs, our costs stay in line with where they've been estimated before.
Operator: Thank you. We have next question from the line of Lucas Pipes with B. Riley Securities.
Lucas Pipes: Thank you so much, operator. I wanted to follow up on this last question in May of last year. I think you disclosed the cost per megawatt hour $0.045 roughly per kilowatt hour. So how should we think about that cost component on the Compute North side of the agreement today? that's the rate that was changed. 
Fred Thiel: Right. So in the original agreement, we had no benefit of curtailment. It was a fixed-price PPA. We were -- we had to take the energy whether we liked it or not, unless Arcos was curtailing the site, and we didn't get the benefit of selling the energy back. What we've done now instead is we've negotiated very good price considerably lower than the prior price for the wind energy piece with full rights to sell that back to the grid and optimize the profit picture from that. On the grid side of the energy, we have a full pass-through on the energy. So we have the ability to hedge do whatever we want with that energy. And so we'll optimize there as well. So we just decided that if you look at the current energy markets, the short-term picture, meaning 2022, 2023 is going to be very volatile from a grid energy price because of energy prices. And we didn't want to be locked in to a 5-year term at a fixed price based on the current market conditions. We wanted instead to have the optionality to be able to hedge ourselves by futures and turn on and off energy as needed and desired to optimize for profitability. So that's why we focus on restructuring the agreement. It gives us a lot more optionality.
Lucas Pipes: That’s helpful. So on 280 megawatts or so, you can – you locked in at a fixed rate. That rate is presumably somewhat higher than it was before. And then on the remainder of the grid, you’re currently floating. 
Fred Thiel: The wind energy is considerably lower than the rate we had before or by a significant factor. And then obviously, that generates a very interesting opportunity for -- so an example, if you use the old price, $0.45 a kilowatt hour or $45 a megawatt. If current air cot pricing is $400 a megawatt, then we could sell energy, we're paying $45 a megawatt for $400 a megawatt. And that profit we received the benefit of that. So that's really why we structured the areas that way. 
Lucas Pipes: That is very helpful.
Fred Thiel: Yes. That profit is going to offset any spot market issues with grid pricing as well as health fund futures and other things like that for hedging. 
Lucas Pipes: I appreciate the color. Thanks.
Operator: We have next question from the line of Stephen [ph] with Cowen.
Unidentified Analyst: Thanks for the question. Fred, can you just discuss the construction time lines on the 270 megawatts of Applied's infrastructure on your new hosting arrangements, -- where do they stand today? What's constructed in North Dakota and Texas and what still needs to be done? And I have a follow-up. 
Fred Thiel: So the Texas site is an existing site where this is just expansion of that site. And I'm not going to give you specific how many miners per month will be turned on there. But it's essentially really the gating item is our deliveries from Bitmain versus the construction. So if you think about our deliveries, we're basically receiving about 15,000 miners per month. give or take a few thousand each month, which we'll start seeing recede up here later this month. And so that's really the gating item as we go through deployment of the applied blockchain sites. Is the North Dakota site, that starts -- you'll start seeing the first miners going in there right around the December time frame probably -- and then that will continue deploying through May of next year. 
Unidentified Analyst: Okay. And I think the press release highlighted 2,800 Bitcoin utilizes collateral for borrowings roughly. Is there any risk of triggered for sales or liquidation here in the contract with Silvergate and what price is a Bitcoin would that be potentially? 
Hugh Gallagher: Well, the amount we have outstanding, that's since been repaid. So the issue that you're talking about is if you look at where we are today, we probably have 3,000-some-odd bitcoins outstanding as collateral, and that's of our 10,000. So we're not overly concerned about that. I think once you get down the bitcoin prices of around $12,000, things get pretty rough. But right now, we're watching it closely, and we feel like we've kind of picked the right time to do that financing. And remember, the issue you also have is once you can also choose, if you wish, to sell Bitcoin if you have to and pay off the loan. And since you're over collateralized all the time, you can also do that. So I'm not particularly worried about that, but it is something we have to keep an eye on and we do keep an eye on to make sure that we're not getting out over our skis. The most important thing for me is production ramping, right? Because our view is there's some sort of there's a level of bitcoin holdings that we want to utilize for borrowings. As our Bitcoin holdings increase and as our production ramps up, that becomes less and less of a concern because the amount that could be drawn on your bar becomes less and less a percentage of your overall Bitcoin Holdings. And that's why it's so important that we got that delayed drawdown feature in the term loan. It gives us an opportunity to grow into that debt as well. 
Unidentified Analyst: That's helpful. Appreciate it. 
Operator: We have next question from the line of Greg Lewis with BTIG.
Greg Lewis: And good afternoon on everybody. I guess I wanted to follow up on the shutting down of hard on. I guess you announced that you're either going to be moving rigs or selling those rigs off. Could you talk a little bit about the drivers of those decisions? What types of rigs are there? And as we think about that, what the market is for potentially selling -- and if we were to move rigs, how much it would cost to reposition those rigs and as you look at your existing footprint, where those rigs could even go?
Fred Thiel: Sure. So let me start by saying the 23.3 exahash is that number does not include any miners from hardened being installed anywhere else. So we have no need to use those miners. They happen to be older S19, -- they've been in use for 18 to 24 months. And we believe that what we need to do as much as possible is deploy the latest state-of-the-art machines, meaning XPs because of the energy efficiency. We think that, that's going to benefit us in the long run, especially in the next 18 months of the market where energy prices are going to be very high, most probably generally around the marketplace. So the miners that are at harden, if you go back into our filings, you could calculate that our cost to acquire those miners were somewhere in the low 20s per terahash [ph]. So essentially, if you look at the current market for used machines, it's around that ballpark. And so essentially, those machines could be sold in their current condition at a small loss or near breakeven kind of number. The cost to move them if we were to relocate them somewhere would be around $1 million, $1.5 million if we were to do that. But I think we're very focused on deploying the latest machines that we are getting in and really just exiting, I mean, kind of a clean break out of harden so we can move on. 
Greg Lewis: Okay, super helpful. And then, I did want to talk a little bit about the wind facility. I mean, clearly, there’s going to be opportunities, as you mentioned, Fred, about selling power into the grid. I guess what I would say, realizing that we have to look at each of these locations a little differently. Is there any way that we should think about utilization of the exahash at that facility just given those opportunities, i.e., in the summer when it’s demand for power pricing tends to be most attractive to sell versus, say, most of the other parts of the year when it’s I guess, pricing is more stable. Any kind of color you think as we build out our models, how should we should be thinking about the utilization of that ex ash. I don’t know if you want on a quarterly or even annual basis. Have you guys – any kind of color there? 
Fred Thiel: It's a great question. We've been working with the power provider there, and the operator of the wind farm. It is a very complex calculus to figure out the actual capacity because it's very dependent on seasonality and when the wind blows, not just what the energy markets are doing. And so it varies, the amount of hours of the day that the wind generates vary during the course of the year, a lot of seasonality. So the wind farm operator has some very sophisticated models on this. They've obviously been operating this site for I think it's nearly 20 years at this point. So they have a lot of experience, and we're relying on their models to really look at this. But the -- generally, the calculus is this. If it's more profitable to mine than selling the energy will mine, if it's more profitable to sell the energy, then we'll sell the energy. And so from a cash flow perspective, if you would, to the company, whether it’s Bitcoin or whether it’s Viacurrency, we’re optimizing to maximize that profitability. And this is going to be a process where it’s going to take us most probably a few quarters to understand the real seasonality and the real impact of this. But the goal is to really just optimize for profitability. 
Greg Lewis: Okay. And then just -- I did want to follow up because I guess sometimes power prices are negative, now that it's typically probably because wind is blowing in the middle of the night. But I guess maybe the question is, in the event that power pricing is super attractive across the grid? Or is there an ability for you to draw power to power those rigs when the wind is not available, are you plug can we draw from the grid or... 
Fred Thiel: Absolutely. I mean the wind doesn't blow 24/7, right? So the goal is to optimize the 95% uptime or sell energy back to the grid. So by no means are we only using wind energy. We learned our lessons that hardened that we want redundant energy. And again, Part of the difference in our model to some of our competitors who sit and only have grid energy is by having the wind energy, there's a lot of wind energy that's stranded at the wind farm that can't go into the grid because Barco is not buying it. And so we get the benefit of that, tends to be extremely low pricing on that energy. But we also have the benefit of being able to draw off the grid when that's cheaper. The good thing is that we have the same incentives as the power operator does to operate the site for maximum profitability. And so we're very aligned in how we're looking at the energy strategy. And I think one of the unique things here as we've talked about, gosh, at this point for over a year is by partnering directly with the power company and really operating a mining business kind of where your incentives are fully aligned with your energy provider, it creates a very unique situation that people operating directly on the grid don't have the ability to do. And so I think, again, our model here is going to be proven to be somewhat better than some of our colleagues in the industry. 
Greg Lewis: Great to hear, Fred. Thank you all for the time. Have a great rest of the day.
Operator: We have next question from the line of Kevin Dede with H.C. Wainwright.
Kevin Dede: Redirect it. No questions on Marpol [ph] or your optimization. Is there any way you can talk about that your ongoing strategy and leaving that back into your operation and what sort of efficiency gains we can see? And I’ve got a follow-up for you. 
A – Fred Thiel: I’ll just say stay tuned on that, and you’ll hear things in the not-too-distant future on that. 
Q –Kevin Dede: Fair enough. Then given multiple sites in Texas, Brent, how far have you gone with your immersion experimentation. And when could we expect to see Marathon’s implementation? 
Fred Thiel: Great question. So we have evaluated a number of different vendors of emerging technologies. We have kind of honed in on 2 that we like very much. I think as you may be well aware, a lot of the immersion vendors don't have the scale to deploy at our scale quite yet. And so for these current deployments, these are all air based, both Ken Mountain and the applied blockchain sites. The applied blockchain sites in the Dakotas have the benefit of very different climatology where for a portion of the year, we may even be able to operate the exercise at that site and overclock them even in air. So that's a benefit there. I think as you look at future deployments that we haven't announced yet whether that's going to be in later 2023 or in 2024, I think you'll see Immersion make up a portion of those. But again, Immersion is still a relatively new technology. A lot of the Gen 1 technologies that have been deployed either require copious amounts of water. And again, we are very ESG focused. We have our goal of being carbon neutral at the end of this year. We'd love to deploy behind renewable energy sources, and we don't really want to be in a position where we're having to step water out of the lake cool or miners. And so as we look at our emerging technologies, we're looking at solutions that are more closed loop in nature. And those are systems that are kind of still in their early stages, but we believe, longer term, will provide much better operational stability and allow us to leverage different types of deployment, not just utility scale deployment, but also microgrid deployment.
Kevin Dede: Well, thanks for diving in on that, Fred. Pardon the pun -- appreciate you entertaining my questions.
Fred Thiel: Thanks, Kevin.
Operator: Thank you. We have next question from the line of Gustavo Gala [ph] with Truist.
Unidentified Analyst: This one is a bit of a follow-up a clarification. So for that incremental 254 megawatts that you've been able to book, has the connection to the grid been approved by the respective operators? I'm particularly asking for the 110 megawatts out of North Dakota with Applied. 
Fred Thiel: So the grid operator, they have been approved. I'm not 100% sure as to whether the full load study has been completed, but I do know it's approved. 
Unidentified Analyst: Got you. That’s helpful. And just looking at the space with all the dislocation that’s been going on, can you talk a little bit about the opportunity for consolidation, be it in the sense of picking up a year or even some of the orders that peers might not be able to pay for and things that mature. 
Fred Thiel: Yes, great question. I think the challenge is -- so acquiring another mining company, the problem is what is the cost of the infrastructure CapEx required condition of the current miners they have hash rate. So as we've looked at it, we have yet defined an opportunity where we can acquire a minor and have an ongoing operating cost and CapEx model that beats just going out and buying state-of-the-art XPs and deploying them kind of behind the meter at wind farms, solar sites and partnering with energy companies. We think that sort of de novo model still beats the acquisition model. Part of the challenge is, if you have a miner who's been operating for 2 years, their rigs are old S-19 -- you have no idea how they've been treated. The hosting agreements may only have 1 year, 2 years, maybe 3 years left on them, and then you're back to square one. So we think there's just opportunity for a lot of hair on some of those deals potentially. That doesn't mean that there won't be some fire sales here as some minor struggle with their energy pricing and bitcoin production. Clearly, global hash rate is going to continue to grow just based on our deployments and what our -- some of our peers are deploying. So we still think the de novo model is a better model. But we'll see there may be a fire sale that just is too good to say no to, but our preference to grow through de novos [ph].
Operator: Thank you. Ladies and gentlemen, we have reached the end of the question-and-answer session. Now I'd like to turn the call back over to Charles maker for closing remarks. Over to you, sir. 
Charlie Schumacher: Thank you all for your time today. If you have questions that were not answered during today’s call, please feel free to contact our Investor Relations team at ir@marathondh.com. Thank you, and enjoy the rest of the day. 
Operator: Thank you very much. Ladies and gentlemen, this concludes today's conference. You may disconnect your lines at this time.